Operator: Good morning and welcome to the Ocean Power Technologies First Quarter Fiscal 2023 Earnings Conference Call. A webcast of this call is also available on the company’s website at www.oceanpowertechnologies.com. This conference call is being recorded and will be available for replay shortly after its completion. On the call today are Dr. Philipp Stratmann, President and Chief Executive Officer; Bob Powers, Senior Vice President and Chief Financial Officer; and Joseph DiPietro, Controller, Treasurer, and Principal Accounting Officer. Following the prepared remarks, there will be a question-and-answer session. Now I am pleased to introduce Joseph DiPietro. Thank you sir, you may proceed.
Joseph DiPietro: After the market closed yesterday, we issued our earnings press release and filed our quarterly report on Form 10-Q for the period ended July 31, 2022. All OPT public filings are available on the SEC website and within the Investor Relations section of the OPT website. This call will include forward-looking statements that are within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements may include financial projections or other statements of the company’s plans, objectives, expectations or intentions. These statements are based on assumptions made by management regarding future circumstances over which the company may have little or no control and involve risks, uncertainties and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. Additional information about these risks and uncertainties can be found in the company’s Form 10-K and subsequent filings with the SEC. The company disclaims any obligation or intention to update the forward-looking statements made on this call. Finally, we posted an updated investor presentation on our IR website. Please take a moment to review it as it provides a nice overview of our company and strategy. Now I am pleased to introduce Dr. Philipp Stratmann.
Philipp Stratmann: Thank you Joe and good morning everyone. We're at a relatively straightforward quarter, so my comments will be fairly limited this quarter. Most importantly, we had a good order activity and are on pace for our $9 million order goal for the fiscal year. The most notable activity from our sales and business development teams was the U.S. Department of Energy selected us for the Phase II development of a next-generation wave energy converter. We'll receive up to $1.1 million over the next 24 months to develop and test a modular and scalable Mass-on-Spring Wave Energy Converter PowerBuoy. This is a continuation from Phase I, which was completed in April, 2022.
Data-as-a-Service.:
ANTX: Second is Power-as-a-Service, which is our most mature aspect of the business and has the longest sales cycle. During the quarter, we continued to cultivate our pipeline of customers and remain confident that we will convert these to orders and ultimately sales. This includes both recurring fee business for power produced, as well as leased and owned PowerBuoys, hybrid PowerBuoys and subsea batteries. We continue to advance our partnerships with ancillary equipment providers to offer complete seabed to surface solutions. Third is our Strategic Consulting Services. Each quarter, our ability to service our clients only gets deeper and stronger. We continue to help our broad client base with offshore energy related engineering consulting services. We have the most success with simulation engineering, software engineering, concept design, and motions monitoring. With that, I will turn it over to Bob for a discussion on our financials.
Robert Powers: Thanks Philipp. I will start with revenue. For the quarter our top line was $714,000, which compared favorably to the $272,000 in the prior first quarter. Based on our recent sales order activity, we expect revenue to ramp meaningfully throughout our fiscal year. We generated gross profit of $194,000, which compares to gross loss of $151,000 in the prior first quarter. With our established WAM-V business and higher margin strategic consulting business we expect to build on this going forward.
MDAS: SG&A costs were $4.1 million for the first quarter, which is up slightly sequentially from the fourth quarter of 2022. This was primarily due to increased employee related expenses. We maintained a strong balance sheet and in the fourth quarter with $52.4 million of combined cash, cash equivalents, restricted cash and short-term investments. We continue to operate with no bank debt, which we believe gives us ultimate flexibility. Our net cash used in operating activities was $5.1 million for the first quarter. In short, we are off to a solid start to the year. With that, Philipp and I are happy to take your questions.
Operator: Thank you. [Operator Instructions] Our first question today is coming from [Joe Durge] (ph) a private investor. Your line is now live.
Unidentified Analyst: Good morning. How many buoys do we have off the coast of New Jersey and what kind of data, what's going on off the coast of New Jersey? Thanks.
Philipp Stratmann: Hi, Joe. Well, thanks for your question and thanks for your continued interest in OPT. We are alternating between one and four buoys off the coast of New Jersey. I think as we've explained in the past, the array that we are, that we have permitted off the coast is being used as a test bed. As we continue to make hardware changes, we got hold of new firmware and we experiment with new pieces of software that we're uploading prior to putting in front of our customer base. We're also utilizing it in order to demonstrate in front of some customers, including overseas visitors that we have, what the system truly looks like. We've taken out some potential customers out to the buoys. So they get the opportunity to have the buoys, watch them, and they can see the stream from the buoys on the laptops that we bring out on the boats that we are taking out there. So it is an ongoing test bed and any given week it could be one or four that we put up.
Unidentified Analyst: Thank you.
Operator: Thank you. The next question is coming from [Jeff Brewbaker] (ph) a private investor. Your line is now live.
Unidentified Analyst:
SLAMR:
Philipp Stratmann:
ANTX:
SLAMR:
Unidentified Analyst:
Maritime:
Awareness Solution:
Philipp Stratmann: Yes, absolutely. And I'm glad you heard that last time around. You're absolutely correct. It is one of the programs that we are currently working on. Obviously the WAM-V and I think we are in the seventies now in terms of serial numbers of WAM-Vs that have been built, the majority of which have been electrically powered. So the -- of these logical integration that we are developing is building out a docking station system that enables WAM-Vs to integrate with buoy networks and arrays. And ultimately from a customer perspective, add roaming capabilities into offshore surveillance in addition to the stationary surveillance that the buoys offer. And that is something that we'll be providing updates on as the development progresses, and as we move into prototyping demonstration, and then ultimately trying to get it in the hands of our customer base.
Unidentified Analyst:
Maritime:
Awareness Solution:
Philipp Stratmann: Yes, so the PB3 is still primarily a wave power device. We do also have, as I think we've mentioned this before, we have a series of test buoys, which utilize solar and a small wind turbine. And we are working on the integration of solar and other renewable power sources into the PB3, mainly to provide an increased average power levels in a broader region of the world. I think we've mentioned this before, and you're probably aware if you've been following us for a while, we've got a hybrid system, which was specifically developed for low wave activity regions, and we are now working on making sure that we can also deploy PB3s in areas where you have sometimes good wave activity, but not always, so that we can offer a higher degree of commonality to our customer base, which makes obviously maintenance, repair and operations a much more simplified process.
Unidentified Analyst: Okay, thanks for that. I've been following you guys for several years now and it seems really like you got a lot of really interesting and exciting things going on and I'm enjoying watching it, so thank you.
Philipp Stratmann: Thank you, Jeff. I appreciate that.
Operator: Thank you. We have reached end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Philipp Stratmann: Thank you. Thank you for your continued interest, support, confidence and investment in our company. We never take it for granted. Have a great rest of your day.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.